Operator: Good morning and good afternoon, ladies and gentlemen, and welcome to the OceanaGold 2019 Full Year Financial Results Webcast and Conference Call. At this time all audio lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, February 20th at 4:30 PM Eastern Time. I now would like to turn the conference over to Sam Pazuki. Please go ahead, sir.
Sam Pazuki: Thank you, operator. Good evening, good morning. And welcome to the OceanaGold's fourth quarter and full year 2019 results webcast and conference call. I am Sam Pazuki, the Vice President of Investor Relations for OceanaGold. I'm joined today by Mick Wilkes, President and CEO of OceanaGold along with Michael Holmes, Chief Operating Officer; and Scott McQueen, Chief Financial Officer. For this webcast, we will initially discuss our 2019 operational and financial performance. And we will then shift the focus of the presentation to the upcoming year before turning it to you for questions. Moving on to slide number two. Before we proceed, note that the references in this presentation adhere to International Financial Reporting Standards and all financial figures are denominated in US dollars, unless otherwise stated. Also note that the presentation contains forward-looking statements, which, by their very nature, are subject to some degree of uncertainty. There can be no assurances that our forward-looking statements will prove to be accurate, as future results and events could differ materially. Please refer to the disclaimer on forward-looking statements in our presentation. I will now turn it over to Mick Wilkes.
Mick Wilkes: Thank you, Sam. And hello, everybody. It's a pleasure to be with you today from New Zealand. And as I have noted before, 2019 was a challenging year for us. We did close the year on a positive note, with strong operational and financial performance from Haile, and our New Zealand operations, which delivered an increase of nearly 20% in gold production quarter on quarter, while all in sustaining costs decreased 13%. And Haile production increased 26% from the third quarter, while costs continue to trend lower. In fact since the start of 2019, we reduced our all in sustaining costs by approximately 40% over the course of the year. Mining unit costs decreased from $5.65 per ton mine in the fourth quarter 2018 to just $3 per ton mine in the fourth quarter of 2019. Processing unit costs were $14.81 per ton milled in Q4 2018 and just over $12 per tonne milled in Q4 2019. We expect the unit cost to continue to trend lower in 2020. Macraes also delivered a strong quarter productions, which increased 20% quarter on quarter worldwide, delivered steady production as expected. Fourth quarter adjusted earnings per share on a fully diluted basis was better than previous quarter in line with analyst consensus figures. Despite our great performance at the other sites, fourth quarter earnings were impacted by the continued expansion of operations at the Didipio with higher corporate general and administrative costs, including approximately $10 million in carrying costs to maintain Didipio in a state of operational readiness. Fourth quarter cash flow per share before working capital and on a fully diluted basis was $0.02 higher than the previous quarter at $0.07. In the fourth quarter, we continued to advance the market underground development with approximately 830 meters development and completion of the ventilation shafts between the levels 800 and 900 drives. Development over the course of the year is expected to gradually increase and we are on track for first production in the second quarter of 2021. Exploration continues to yield positive results particularly at Waihi, where we focus drilling at the Martha Underground and WKP projects. Just last week we announced an updated resource for Martha Underground project, which included a significant increase to indicated resources, which now stands at 824,000 ounces of gold, while inferred resource stood at 614,000 ounces. The average stride for both categories at Martha has also increased from the previous resource. Moving on to Slide 4, and our ESG update. OceanaGold has operated a sustainable business for the past 30 years by applying robust ESG practices across our business. We are proud of our ability to discover ore bodies, build projects, operate mines and rehabilitate depleted mines. This is clearly demonstrated by the work we've been doing at the recent mine on the West Coast of the South Island of New Zealand. You can see from the photo on the left block which operated for about nine years, is transforming into a new freshwater lake surrounded by native forest. And since the mine closed in 2016, we have completed over 100 hectares of rehabilitation and planted more than 700,000 native seedlings. It's another 300,000 seedlings to be planted over the next three years. On the social front, we are grateful for the strong sale support for the company for the Didipio mine and the renewal of the ESG at a potluck public rally in Manila as shown on the middle photograph. Approximately 1200 members of host communities including indigenous peoples traveled 10 hours each way to rally for two hours in front of the Presidential palace. ESG is the - OceanaGold is a top ESG performance measured by the major ESG writing agencies. While we are proud of our ESG performance and the programs we have, we can always do better. Driving for improvements since health and safety continue to be a critical component of our business. And our total recordable injury frequency rate improved in 2019. Moving on to Slide 5 and discussion about Didipio. The resumption of Didipio operations is our top priority. The FTAA renewal process currently sits with the office of the President after it was reendorsed by the Department of Environment and Natural Resources and the mines and geoscientists below before Christmas. We've had good engagement with national and local stakeholders and support from different levels of government and the regulatory agencies. We have retained our workflows to continue in a state of operational readiness. So we can ramp up following the resolution. We've maintained the state of operational residents, since we were forced to suspend operations in October 2019. However, we cannot continue in this state indefinitely. If operations are permitted to recommence, then we believe we can achieve full rights of production at 10,000 ounces of gold, plus 1,000 tonnes of copper per month, within 4 to 6 weeks. If operation permits are not received and decide to proceed to full care in maintenance significant workforce reductions would result and we might be looking at a ramp up to full production of up to 12 months. Moving on to Slide 6 and the voice of our host communities. As I mentioned before, we are thankful for the overwhelming support from our host communities. Since July 2019, thousands of people have come together to organize rallies to support the renewal and the lifting of the barricade imposed by the potential governor. Community groups have helped dozens of meetings with government officials and submitted dozens of letters of support to the office of the President. The communities want this mine and they want OceanaGold work to continue. The Didipio has changed the lives of 10s of thousands of people for the better. Families across the provinces of Nueva Vizcaya government, have jobs, access to improved health services, better schools, better roads, access to markets and a better quality of life, because of the Didipio mine. We are proud of the work that we have done at Didipio and the partnerships we have built with communities. I’ll now turn it over to Scott to discuss the financial results.
Scott McQueen: Thank you, Mick and hello everyone. Over the next few slides we’ll cover some key aspects of our fourth quarter and full year 2019 financial performance. Moving on to slide eight, revenue in the fourth quarter increased approximately 14% from the previous quarter due to higher gold sales from Macraes and Haile, which both demonstrated strong fourth quarter operational performance. Full year revenue of $651 million was lower than the previous year due to the absence of sales from Didipio in the second half of the year. Which was partially offset by a higher average gold price received. EBITDA increased 33% quarter-on-quarter on higher revenues, just partially offset by higher corporate, general and administrative costs. Note, that the costs incurred to maintain Didipio with state of operational readiness were included as part of corporate G&A costs in the fourth quarter. These totaled approximately $10 million. And in addition to this, we had $3.4 million non-cash write-off related to prior production taxes in the Philippines. As a result, these two factors combined to reduce their earnings in the quarter by around $0.02 a share. Lower year-on-year EBITDA reflects the second half suspension of Didipio and these associated costs to maintain the assets in the state of operational readiness. Net profits of the quarter was $8.7 million, while adjusted net profit was a negative $0.7 million after adjusting for unrealized gains on hedges of $13.4 million and a write-off of approximately $4 million of exploration costs which are associated with joint venture agreements terminated during the quarter. Net profit for the year is $14.5 million and the adjusted net profit for the full year was $32.1 million. Moving to the cash flow summary on slide nine. Operating cash flows increased quarter-on-quarter to $46.7 million or $0.07 per share with a minimal change in net working capital. The increase in operating cash flow as a result of a higher gold sales in Haile, which is partially offset by the absence of sales in Didipio and essentially carrying costs already noted. Investing in finance and cash flows were similar quarter-on-quarter. For the full year, the increase in investing cash flow largely reflected higher exploration costs related to the growth projects in the Waihi District. The year-on-year decrease in finance and cash flow relates mainly to the discretionary debt repayment we made in 2018. Turning to slide 10, which included some additional detail on that capital expenditure. Full year capital expenditure in 2019 was at the bottom end of the guidance range at $240 million. Our investments in growth capital were mainly at Waihi to start a development of Martha, and of course the continuation of the Haile expansion. Our investment in exploration in the Waihi District continues to yield strong results, with resource growth just announced of the Martha Underground last week. Moving on to slide 11, and a snapshot of our balance sheet. As at the end of 2019, our cash balance was $49 million, giving us immediately available liquidity of $99 million. Our net debt increased slightly to $179 million, primarily as a result of the increase of approximately $32 million in equipment basis, mainly at Haile where the new fleet is being progressively added in support of the expansion and increased production rates. Our balance sheet continues to have relatively low financial leverage with a net-debt-to EBITDA ratio of 0.84. With a spot of our long-term bank group as previously announced, we agreed amendments to our corporate debt facilities in November, whereby we eliminated the $50 million step down and extended the maturity until the end of 2021. Before moving to the outlook for 2020, I’ll spend a minute just having a look at slide 12, which shows how we've managed our balance sheet over the past several years. Balance sheet's always been managed in the prudent manner, by not carrying excess levels of debt. Leverage has been increased as required to support growth and then reduced production in production mode and free cash flow allows. Clearly demonstrated by the graphs where leveraged increased through complete in Didipio in 2012, and also Haile in 2017, both followed by periods of debt reduction. As recently you recall our discretionary and debt retirement of $50 million in late 2018. Our continued expansion of operations with Didipio have impacted cash flow. We are monitoring our liquidity levels constantly and have options at our disposal to manage through the uncertainty and continue to support the growth projects in our business. The first step in that process is the amendments made to the debt facilities and like 2019. We will continue to focus on executing prudent options as required to support the continued delivery of key growth projects and including extension of the Haile mine, development of the underground at Martha. So the drilling at WKP and life of mine to put into options into the current. Moving to the outlook on Slide 14. As you know, we published our 2020 guidance on a couple of weeks ago. On a consolidated basis excluding the Didipio, we expect to produce between 360,000 and 380,000 ounce of gold, which is similar to what we delivered in 2019 from those operations. All in sustaining costs is expected to range between $1,075 and $1,125 per ounce sold. We expected to produce approximately 25% model this year, offsetting the decrease in production of Waihi, where we will complete mining Correnso ore body and quarter before production from Martha Underground in Q2 2021. Our capital investment program for 2020 includes increasing pre shipping in site mining infrastructure associated with the Haile expansions where we are bringing forward to open pit originally planned for mining in 2021. Capital associated with the development of the Martha Underground project. And the road realignment and the movement of underground mining infrastructure at Macraes to allow for future production. The exploration span is approximately half that at the previous year. We have narrative focus to support the current mine plans, Martha Underground and WKP. I'll now turn it over to Michael to discuss more detail of the outlook for each operation.
Michael Holmes: Thank you, Scott. And hello everyone. Moving on the slide 15 and we overview of Haile for 2020. Haile ended 2019 on a high note with 26% higher production and lower costs relative to the third quarter. In fact, Haile improved every quarter through 2019 as productivity increased and unit costs decreased. We expect continued improvement this year through our larger mine program and utilization of the newly built and conditioned mining equipment. Haile is expected to produce between 180,000 and 190,000 ounces of gold, which represents an approximate 25% increase in gold production from 2019. The size all in sustaining costs are expected to decrease and range between $1,080 and $1,130 per ounce sold. While mining unit costs are expected to decrease as the year progresses. Haile's production profile is second half weighted, with two thirds of the year's gold output expected in the second half of the year, which is driven by the mining schedule. Higher recoveries are expected in the second half consistent with high grades and embedded process plant improvements. We expect production to increase every quarter of the year, while the all in sustaining costs are expected to decrease each quarter. Haile's all in sustaining costs will be significantly higher than the first half of the year then significantly low in the second half to average out to our guidance range. Mining rates will increase significantly this year as we plan to mine between 50 million and 55 million tons of material including 3.5 million to 4 million tons of ore. This compares to approximately 25 million tons of material mined in 2019. The mining activities will be supported by the 15 new Komatsu 730E 200 tonne old trucks of which we currently have 12 in service and expect more 15 to be online by the end of the first quarter, which is ahead of schedule. In addition to these large trucks, we've upgraded the fleet with one, Komatsu PC-3000 excavator; two Komatsu PC-4000 shovels and four news Sani Dig DI-49 drill rigs to support the increased mining rates. The process plant continues to achieve higher throughput rate. And we expect the mill to mill approximately 14% more this year than in 2019. We have recently completed the conditioning of [indiscernible] sigma, which is the last new component of the upgraded regrind circuits. Our focus for the processing plant now turns to improving recoveries while continually increasing throughput. As I mentioned with the enhancement of the open pit operations, we are revisiting the Horseshoe underground mine plan. This study work is underway and will include further analysis of the appropriate backfill use which will dictate the mining sequence. We will also select the mining fleet that will support underground operations and use technology similar to what we implemented at Didipio. We expect to have more details on this work in the second half of the year. However, we will likely defer the start of the portal development to 2021. The growth capital for 2020 does not include the Horseshoe underground development. In the meantime, depending the Horseshoe underground is progressing to plan and we expect the notice of decision from the US army corps of engineers in the near term. The growth capital investments however are focused on the expansion of the mining operations, which includes a three meter lift of the carbon storage facility which represents half of the growth capital investment for 2020. In addition to the TSF, we are investing in the construction of a large potential asset generating or big cell, which is currently under construction and costs approximately $20 million. In addition to these investments, we are upgrading the water treatment plant, expanding out the watering facilities and relocating an overhead power line to allow for the mining of no sign phase two which was brought forward by six months from the original mine plan. Moving on to Slide 16 and Haile physicals. It has been a challenging start as we ramp up Haile. However, we are feeling much better with how the operation is progressing. We do still consider Haile to be a new mine with a long mine life. We have been ramping it up since it went into operations. Mining was challenged by the extreme weather events in quarter four 2018 that took us by surprise and the recovery was much longer than expected. The US economy has been very strong, which has led to a labor shortage and impacted our employee turnover, which we have now stabilized. We have upscaled the workforce by recruiting from hard rock mining sites as well. While all this has been going on we have been expanding our mining operations and the process plant, which is now operating with throughput rates that are 50% higher than the nameplate capacity. We have the right leadership and team in place to drive further improvements and advance the continued expansion of the operations. As we mentioned, we expect continued improvement for the operation, particularly on the mining front where productivity significantly improved over the course of last year, and expect to further improve as issue progresses. Unit costs are also expected to decrease as well. Moving onto Slide 17 and Macraes. Macraes continues to be the mine that keeps on giving with consistent positive performance and cash flows. There's plenty of opportunity to convert the large resource base to reserves and extend the mine life for a low capital investment. For 2020 Macraes is expected to produce a similar amount of gold to 2019 while costs as steady. We will mine a lot of material as we do normally at Macraes. And however we will do so with a lower strip ratio this year of approximately 7.5 to 1. The mining operations will be supported by another new 3,600 high Hitachi excavator, which is now in service. The Golden Point Underground study is advancing well and we expect to complete it in the second half of the year. Our objective with Golden Point Underground is to replace the Pfizer Underground and this together with the additional open paid opportunities form the basis for a potential mine life extension. I would like to point out that the resorts at Golden Point Underground the new discovery following initial drilling exit of the Red Hill project. With drill results better than expected. We had decoupled the underground portion of the Golden Point from the Red Hill project. The Red Hill project remains as an option for us. However, this isn't the end of mind life opportunity. In the meantime, we are advancing several open pits, including new stage to Carnation and Carnation North [indiscernible]. We will also be updating in our 43 101 for Macraes in 2020. Moving on the Slide 18 and Waihi. We are transitioning from Correnso to the Martha Underground. We will complete mining of the mains vines from Correnso this quarter and produce approximately 11,000 to 12,000 ounces of gold. We will continue mining the narrow veins from the underground which we will stockpile ahead of batch processing in the fourth quarter. And in the fourth quarter we will expect to produce an additional 7000 to 8000 ounces of gold. The processing plant will be shut down in the first quarter then restarted in the fourth quarter before we shut it down again ahead of processing from the Martha Underground in the second quarter of 2021. The growth capital at Waihi for 2020 is predominantly for the development of the Martha Underground. It also includes approximately $5 million to $7 million on project overheads if it remained on underground development, while some of the capital is for some plant modifications during the downtime. The Waihi District study which is expected in the second quarter of this year will outline additional details associated with the development of the Martha Underground. Onto the next slide, Slide 19. The development of Martha Underground will ramp up over the course of the year from approximately 1300 meters of development this quarter to a steady state development rate of between 2600 and 2900 meters a quarter by the third quarter of this year. We have completed the ventilation shaft between the two drill draws a 930 meters of developments in the fourth quarter of last year. The image you see here on the screen is what Martha expected to look like in three years' time. As I just mentioned, the Waihi District study will have detailed information on the development of Martha Underground, the capital and operating costs, as well as the ramp up profile. Just last week, we announced the updated Martha Underground resource. We reported an overall increase of 440,000 ounces of gold from the previous update in March 2019. We increased indicated resources by 150% year on year to 824,000 ounces of gold while grades increased in both categories. Back in 2017 we told the market that we had new project Martha where through historical data and some drill holes, we believe there was mineralization that could underpin certainly the mine life. Fast forward to today, we have a growing resource, a patented mine, and construction is as well underway and we are working towards initial targeted mine of life of 10 years. Exploration drilling will continue in the Martha Underground this year, and for many years to come. Our focus for this drilling is mainly on resource definition. Drilling however, we have an expiration target of approximately 6 million to 8 million driving for 6 grams per tonne, which we will look to convert into resources over the coming years. This exploration target is incremental to the resources we currently have on our books. Moving on to Slide 20 and the Waihi District study. Waihi is more than just the Martha Underground and Waihi District study is well underway. As we said the study should be completed in the second quarter of 2020. The main components of the study of Martha Underground and a game changing discovery of WKP. Both are underground mines and hard grade. Particularly at WKP where last March, we announced an initial resource of 234,000 ounces of gold in the indicated category and 401,000 ounces of gold in the third category. The Waihi District study will be a preliminary economic assessment of PEA. And our intention is to highlight the feature of the Waihi operation, while providing high levels of detail on numerous parameters such as production rates, operating and capital costs, mine plans and designs. The study will include resources beyond what we have just reported for the Martha Underground and WKP. However, there will be important talk draw a line in the sand and what we had for resources from the District will be used for the stack. This point is particularly important when considering the potential of the WKP target. It's still a relatively new discovery with only 25,000 meters drilled since the end of 2017. We expect the results of both the Martha Underground and WKP to grow, history WKP we have only just begun. There's a lot more drilling to do. And we expect exploration to continue well into the mine lives of both Martha and WKP. I'll now turn it over to Mick to wrap up the formal presentation. Thank you.
Mick Wilkes: Thanks, Michael and Scott. And as you've been hearing, we had several opportunities. We are focused on to achieve the objective of being one of the best gold mining companies in the industry. Our top priority is to resume operations at Didipio. It is an important asset to our business and we want to deliver on our commitments to our host communities. We will continue to work constructively with all stakeholders towards the renewal of the APIA [ph] and reestablish the best operation in the Philippines. We have several exciting opportunities that are designed to deliver significant long-term value to shareholders. The Waihi District represents the largest value creating opportunities we have in our portfolio. The market is strong, very little value to the Waihi operation despite successful resource expansion and project development that now underpinning the 10 year mine life. And as the Waihi resource continues to grow, we see more value being ascribed to this asset in this Tier 1 jurisdiction, especially at WKP, which is an exciting opportunity, and one that we're advancing as quickly as we can. The higher expansion continues to advance well, and we are feeling good about the progress of the operation, which is shaping up to be a robust, long life mine, again in a Tier 1 jurisdiction. Golden Point is another exciting opportunity, which is currently being studied, and put at further mine life to enterprise operations. I'll now turn it over to Sam.
Sam Pazuki: Thank you, Mick. That concludes the formal presentation segment of the webcast. We will now take some questions over the phone. But you can also ask questions or post questions in the webcast site on your computer screen. I will now turn it over to the moderator to facilitate the Q&A session.
Operator: Thank you, sir. [Operator Instructions]. And your first question will be from Reg Spencer of Canaccord. Please go ahead.
Reg Spencer: Thank you. Good morning, guys. Just a question on the DPI. Things like the language around maintaining that state of operational readiness seems to have softened a little bit such that a piece that you may be considering care and maintenances. At what point even that you spend $2 million a quarter at the minute sorry, $10 million a quarter at the minute. At what point do you make that decision on care maintenance?
Mick Wilkes: Reg, thanks to the question. We are focused on the restart of operations into DPI when the completion of renewal remains our primary objectives. We have made progress on the renewal in the quarter which included continued positive engagement with regulators and ultimately the NGP and DD&R endorsing and going back to the OP, the office of the President in December. We've also seen positive steps with regard to the local blockade, including the authorization by the officer and President to allow fuel into the site. And the department of interior local government orders, which have been issued to the Nueva Vizcaya government regarding the removal of the checkpoints. So we're encouraged by those things. And time is marching on and we are concerned about the costs of incurring to maintain the mining state of operational readiness, which we can't do forever, we can't do that indefinitely. And the impact of that on our workforce and the host communities is a key consideration in that decision. So that's pretty much where we're at, we'll take into consideration all those things. As you said in the presentation, if we do go into care and maintenance there is significantly a period of ramp up to get back into operation. So we're not taking these decisions lightly.
Reg Spencer: Thanks, Mick. And just the comment about getting some fuel into sites. You've obviously got approvals and permission to do that. Would that include or may that include the ability to track out some of the concentrates you have there just to get a little bit of cash flow out of the asset. Now is that being contemplated?
Mick Wilkes: We’ve obviously requested for that from the government. And we both requested sitting with the DD&R. And, we are continuing those discussions. The letter from the office of the President authorizing the fuel to lead site was specifically related to the fuel.
Reg Spencer: Okay, understood. Thanks very much. Thanks, guys.
Operator: Thank you. Next question will be from Chris Thompson at PI Financial.
Chris Thompson: Hi, guys, thanks for taking my question. Just quick question on Haile here. I mean, obviously you've spoken about maybe pushing back the underground portal development. Could you just remind us what is the development and I guess first production timeline for the underground at Haile?
Michael Holmes: Yeah, thanks Chris, it is Michael Holmes here. So the [indiscernible] and something that we're sort of working on at the moment. And there's numerous options that we've got. So with the focus on the open pit and the moving forward with some of the work that we've got there, which has been facilitated by the new equipment and the equipment we have on site. We're looking at the different options. So it's generally depending on the options and then depending on the type of material we used to backfill will dictate, I suppose the one methodology which could either be a bottom up approach or a top down approach. And so you're looking at a decline. The decline to the bottom of the ore body can take up with about 12 months, but you can certainly access to the top of the old body a lot sooner. And so that's the sort of range that we're looking at. And we haven't sort of landed on exactly that. So we'll be deferring, possibly deferring the fine starts in 2021. But we still have that optionality of when that production can come out of the mine. And we're not sort of - that can either be from as I said before the bottom up or the top down approach.
Chris Thompson: Great. Thanks.
Mick Wilkes: [Multiple speakers].
Chris Thompson: Yeah. Just another quick question on Haile. I mean, obviously, it's nice to see the all in - just site wide all in sustaining costs, coming down. I think at one point, we might see them below $1,000 an ounce when the underground comes in.
Mick Wilkes: Yeah, look, the plan with the mining, it is backend widened this year. And that's just the mining sequence sort of point of view. And so as we sort of ramp up with the equipment coming on board and improve the productivities. We will hope - we will see that the all-in sustaining costs will be continually driven down. So we're looking at achieving that target before then.
Chris Thompson: Alright, thanks. And then just finally, just I guess, going over to Macraes real quick. Could you just remind us on the mine life, that the freight of mine life, how much sort of run runway if we got there before, I guess, pulling the trigger on Golden Point?
Mick Wilkes: Yes. So the underground of the mine that’s proposed underground it's 2021. And that's sort of in the open pits. We are reviewing that now with the count we have got. We're sort of working through the Golden Point study and we'll sort of get papers out for that this year and that will roll into, as I mentioned what I want which we'll look at extending the life. So at the mine it was sort of finalizing the information that we've got, the drilling information that we've succeeded through last year and at the beginning of this year. And for the open pits we're still working through that process. So current mine life, something has been started at 2021. But we expect that performance to sort of move that forward.
Chris Thompson: I guess I will ask the other quick question. I mean is there a potential for an interruption in production from the underground before you bring on Golden Point?
Mick Wilkes: Look, Golden Point drilling, it's been quite successful we’re finishing off a resource on that in the near future. And we'll have a PSS on that not too far away. And that can feed into the broader, life of mine plan. We do have - we have announced some good results from the exploration that at Macraes which is pointing towards a longer life in the open pit as well. So those two coming together, I think you can expect that Macraes will continue in its current state for quite a few years. Now how many years we can stay categorically at this point, but we will be putting out that information over the course of the next six months. So watch this space. Macraes is a great operation that continues to deliver. It's got a huge resource which has got a lot of exposure to the upside of the gold price. And now we're looking at very, very high New Zealand dollar gold prices at the moment, which is looking pretty bright future for Macraes operation. So just in summary over the next six months we'll put out more information about the life of mine plans for Macraes.
Chris Thompson: Great. Makes sense. And really looking forward to those Waihi District wide study. Thanks guys.
Operator: Thank you. [Operator Instructions] And your next question will be from [indiscernible] at JP Morgan. Please go ahead.
Unidentified Analyst: Morning guys. So another question for Michael. I guess at Martha Underground. So can you talk us through I guess more the critical path items there? How we can monitor - how you're tracking to make second quarter next year? And what the risks are to that timeline?
Michael Holmes: Yeah, sure. Thanks. So the Martha Underground that we've got shaft putting we're in the process of completing the fourth de-watering hole current sort of levels I believe around about the 700 level and we'll want to get to the minding water for another down another hundred meters. The critical path is obviously the development, developing into the areas that we need to get into. And so the guidance we've sort of starting off with the 1300 meters and up to the 2600 to 2900 meters per quarter. So that'll be tracked and guided as we go through.
Unidentified Analyst: And can we track that?
Michael Holmes: Yes.
Unidentified Analyst: Okay. Yeah. And also ….
Michael Holmes: Yes. Why the - sorry. We have provided a study that'll be coming out of the district wide study in the Martha Underground. And so there'll be more coming out in quarter two 2020. And that should give you clear understanding of all the mine plan for capital and operating costs. And so from that position should give you a good information to be able to track.
Unidentified Analyst: [Multiple speakers] what else is coming up before then? So is there an update on WKP drilling or is it really just [indiscernible] drilling?
Mick Wilkes: Sorry, Levi's it's Mick here. If I just go back to the Martha Underground. So we are operating with two jumbos now and that's more facing open up, we'll be increasing the number of jumbos. So you really see that development rate increase through the course of the year. As Michael said, it starts off at 1300 meters a quarter now, and going up to around 2000-2500 a quarter towards the back end of the year. And we can produce - will give you clear transparency on that development grade. This really is driven by the numbers of phases and the new equipment that's coming in. And on WKP, there is new resources to be put out in the near future. And they'll be fed into the district plan, which is the first half of this year.
Unidentified Analyst: Okay. Thank you.
Mick Wilkes: Thanks, Levi.
Operator: Thank you. [Operator Instructions] And at this time, we have no further questions. So please proceed.
Sam Pazuki: Operator there is one question on the Q&A dashboard. And I will just read it out verbatim and provide Mick an opportunity to address it. So the question here is has the confidence in getting renewed FDAA pool becomes so low that selling the asset at a significant discount is an option already now? If so, what is the reason for this new low confidence? That's the question.
Mick Wilkes: Okay. Sam, thanks for that question. As I said before, we are focused on the renewal of the FDAA it's our primary objective. We have had some progress with the government in terms of seeing positive steps in the guide of the blockade. The authorization of the fuel coming inside and the orders from the DA Department including the local government orders and for the removal of the checkpoint. And the renewal itself is sitting with the office of the President for action. But it is taking longer than we expected. And we are aiming at state of operational readiness, but we can't maintain that forever. And, we don't want to impact our local communities and the workforce which could lead - particularly the workforce would lead to no longer delays in ramp up production. So it is a significant decision if we did go into care and maintenance. Based on that, considering all these related impacts on the board of business, across the business and our cash flow and desire to continue to grow through delivering key projects elsewhere in our portfolio, like WKP, and Martha Underground and Haile underground. We feel it is incumbent on us to consider all avenues to potentially realize value for shareholders. And this logically should consider some form of divestment, if that on balance was considered beneficial to our portfolio and longer term strategic objectives that are value accretive. So, that's pretty much where we're at. It's just the balance of the needs with the broader business and the cash flow of the business. And what happens in the Philippines.
Sam Pazuki: Alright, thank you, Mick. There are no further questions on the Q&A dashboard either. So that concludes our webcast and conference call. A replay will be available on our website later today. On behalf of Mick, Michael, Scott and the rest of the team at OceanaGold. Thank you for joining us. Bye for now.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Enjoy the rest of your day.